Operator: Welcome to Velodyne Lidar Third Quarter 2022 Financial Results Conference Call. All participants will be in listen-only mode.  After today's presentation, there will be an opportunity to ask questions.  Please note, this event is being recorded. I would now like to turn the conference over to Mr. Jordan Darrow, Investor Relations. Please go ahead.
Jordan Darrow: Thank you, operator. Good afternoon, and thank you for joining us. With me on the call today are Dr. Ted Tewksbury, Velodyneâs Chief Executive Officer; and Mark Weinswig, Chief Financial Officer. On today's call we will discuss Velodyneâs third quarter financial results and provide an outlook for the fourth quarter.  Surely after the market close today, Velodyne issued a press release announcing itâs third quarter financial results. Velodyne also published an investor presentation reflecting our recent performance. You may access these documents in the Investor Relations section of velodynelidar.com. Today's discussion includes forward-looking statements. Please refer to our press release and our SEC filings including our most recent 10-K and 10-Q for a discussion of factors that could cause the company's actual results to differ materially from these forward-looking statements. All forward-looking statements in this discussion are based on information available to the company as of the date hereof. The company undertakes no obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise except as required by law. Please also note our results and projections discussed in this call may include non-GAAP metrics. Management provides non-GAAP metrics, because it uses them for budget planning purposes and for making operational and financial decisions and believes by providing these non-GAAP financial measures as a supplement to GAAP financial metrics will help investors evaluate Velodyne's core operating and financial performance and business trends consistent with how management evaluates such performance and trends. In addition, management believes these measures facilitate comparisons with the core operating and financial results and business trends of competitors and other companies. A full description and reconciliation of these non-GAAP measures versus GAAP is included in the company's press release issued today. Now, I'd like to turn the call over to Dr. Ted Tewksbury. Ted, please go ahead.
Ted Tewksbury: Thanks, Jordan. And thank you all for joining us. Yesterday, we announced our plan to merge with Ouster in an all-stock merger of equals transaction that is expected to drive significant value creation for Velodyne, our customers and our shareholders. Please refer to our joint conference call and press release for details. Today's call will focus on Velodyne's Q3 financial results and Q4 outlook. The Q&A session today will be restricted to Velodyne's results and exclude discussion of the proposed merger. In the third quarter, Velodyne delivered another solid quarter as we experienced continued strong demand and made significant progress on initiatives to improve our gross margin and lower our cost structure. In addition, we added new multiyear customer agreements and announced the acquisition of Bluecity, which further bolsters our software and AI capabilities. In the third quarter, billings of $12.5 million were above our guidance range of $10 million to $12 million. Revenue of $9.6 million was within the guidance range of $8 million to $11 million. As discussed in prior quarters, the difference between billings and revenue is due to non-cash contra revenue related to the Amazon warrant accounting. As I noted earlier, demand for Velodyne's products remains strong and continues to exceed supply. Looking at the supply side, our team has made significant progress towards overcoming component shortages over the past few quarters. In the fourth quarter, we will begin shipping our Puck and Ultra Puck sensors with an alternative field programmable gate array, or FPGA, to address this bottleneck. And additional design improvement is planned for production in early 2023, which should put the biggest source of constrained supply behind us and reduce the costs of our sensors, thereby providing an opportunity to expand our product gross margins. I will now provide an update on Velodyne's recent business results, share the status of our company-wide transformation and discuss our outlook for Q4. Mark will then review the financial results in greater detail. This month marks my one-year anniversary at Velodyne. When I started, I discussed Velodyne's goal to transform into a leading supplier of AI-powered lidar solutions, while accelerating the path to profitability. I outlined four strategic pillars to achieve this goal. We have made enormous progress in all four of these areas over the past year. I'd like to take a moment to look at each pillar and summarize the significant advancements made during the third quarter in particular. The first pillar is to drive sales of existing products into the early autonomous markets, including industrial, robotics and intelligent infrastructure. These markets comprised 85% of our Q3 sales, up from 53% last quarter. According to industry research firm, Yole the available market for lidar in industrial and robotics is expected to grow from $1.8 billion in 2021 to $2.6 billion in 2027. Since our last call, we have announced several new multi-year agreements that illustrate our value proposition in these markets. We signed an agreement with Stanley Robotics in France to provide our Puck and Velarray M1600 lidar sensors for their automated valet parking solution. This innovative service uses autonomous mobile robots to help car parks increase the number of vehicles that can be stored, while improving customer experience. Our sensors met the stringent performance specifications Stanley Robotics require, reflecting our ability to serve the unique and rigorous product requirements for their programs. Yamaha Motor selected Velodyne for eve autonomy, a joint venture in Japan between Yamaha Motor and Tier IV Incorporated. Eve auto, Eve autonomy's autonomous goods transport service provides logistical support for factories to improve their efficiency and safety. We have already begun shipping Puck sensors to support the launch of eve auto service. We also signed a new multi-year agreement with our longtime partner, Visimind, a Stockholm-based provider of airborne mapping and portable solutions for major European energy distributors. The agreement further strengthens our long-term relationship with Visimind, including a three-year supply agreement for both Puck and Ultra Puck sensors for which shipping has already begun. These and other customer engagements show that Velodyne has established itself as a go-to supplier of lidar solutions worldwide that deliver the range, accuracy and resolution needed to navigate complex, indoor and outdoor industrial and factory environments. Moving on to the smart infrastructure market. Yole estimates this market will be the third largest total addressable Lidar market by 2027, right behind ADAS and topography. Smart Infrastructure is forecasted to grow from $108 million in 2021 to $1.1 billion in 2027, representing a 51% compound annual growth rate, the second largest for the Lidar industry. To accelerate our growth in smart infrastructure, in October, we acquired Canadian AI software company, Bluecity in an all-stock deal. Velodyne and Bluecity have had a long-standing and successful partnership, and this acquisition was the natural next step. The addition of Bluecity expands our expertise in intelligent infrastructure, traffic systems and software. Our Intelligent Infrastructure Solution, or IIS, combines Bluecity's proprietary AI software with Velodyne's Lidar sensors to monitor networks and generate real-time traffic data and analytics. This full stack solution, integrating software and hardware is a major differentiator and key value proposition for our customers in the smart infrastructure space. IIS is now deployed in 82 pilot installations around the globe and continues to expand. We discussed some of these design wins in previous earnings calls, including those in Helsinki, Finland and RÃ¼sselsheim, Germany. Our second pillar is the development of low-cost sensors to drive mass adoption of Lidar in automotive and other price-sensitive applications. Our next-generation directional and rotational sensor platforms remain on track for customer sampling next year. Proprietary new architectures will enable these devices to achieve low price points while expanding gross margins. We look forward to providing more detail on these new products on future calls as they are introduced.  Our third pillar is to expand software to enable complete AI-powered vision solutions that make it easy for our customers to deploy Velodyne Lidar in any application. In Q3, we continued to develop and expand Vela, Velodyneâs software product line, which will include Vela go to make it easy for customers to manage sensor settings, generate point clouds and calibrate one or more Lidar sensors in minutes right out of the box. Vela perception to translate raw point cloud data into actionable information, enabling autonomous systems to not only see, but understand their surroundings. And Vela Solutions, providing end-to-end hardware and software for a wide variety of vertical market applications. IIS for traffic systems is Velodyneâs first application-specific solutions. The acquisition of Bluecity will accelerate the development of new Vela Solutions for other vertical markets, by replicating the successful IIS model. We have several new Vela Solutions in development, which we expect to be announced in 2023. Customers will be able to access Vela Software offerings through Vela Portal, an online hub providing easy and secure account management, software downloads, cloud services for Lidar -based perception tasks and more. Finally, our fourth pillar is to lead in high-volume, low-cost manufacturing, operational excellence and quality. Our gross margin improvement plan is well underway, and we expect to realize further progress. The three main levers in this plan are the manufacturing transition to Thailand, the design of low-cost sensors, and the development of full stack solutions that include software. I'm pleased to announce that we are on schedule with our strategy to consolidate all production at our contract manufacturer in Thailand. The transfer is expected to deliver significant improvements across our operations, lower our overall cost structure and accelerate our gross margin improvement and time to profitability. While we have made progress on our outsourcing plan, and in alleviating our supply chain issues, in the third quarter, we recorded significant charges from excess and obsolete inventory, losses on purchase commitments and expenses from canceled supplier contracts. These charges totaled approximately $8 million. Mark will provide additional details later in the call on the charges. We have also made changes to our operations team leadership, which we believe will allow us to further improve our operating performance and expedite our transition and cost reduction efforts. In addition to these initiatives to improve gross margins, we made excellent progress on our cost reduction plans discussed last quarter. We have implemented measures to reduce expenses by streamlining our product portfolio and operations, as well as improving our processes. Since March 31st, we have reduced our operating expenses by $10 million per quarter or 28%, by rationalizing headcount and cutting spending in other areas. We are making these reductions while continuing to invest in innovative new products to better serve our customers. Going forward, we are continuing to look for opportunities to enhance efficiencies and believe we can further improve our expense base over the next few quarters. While we have more to do, the foundation is firmly in place, and we expect to see better financial results in the future, including a resumption of revenue growth, increased gross margins and improved bottom line performance. Before handing the call to Mark, I want to offer some commentary around our guidance for the fourth quarter. We entered the fourth quarter with strong demand across the entire business adding more long-term customer agreements on multiple continents that reflect the global acceptance of Velodyne solutions. Billings are expected to be between $13 million and $15 million, and revenue to be between $12 million and $14 million. Our gross margin improvement initiatives will continue, as we move more manufacturing to our partner in Thailand. In addition, there will be more actions taken around our cost containment measures that should deliver further progress in our operating expense structure. Outside of these improvement initiatives, yesterday, we announced the planned merger with Ouster, which we believe is an exciting opportunity to accelerate the adoption of Lidar in fast-growing global markets, while strengthening our financial position. The all-stock merger of equals is expected to drive significant value creation for Velodyne, our customers, business partners and shareholders. Ouster CEO, Angus Pacala will serve as CEO, and I will serve as Executive Chairman of the Board. As one combined company, we are setting the stage to become a leading Lidar provider with global scale, a deep history of technological innovation, a strong balance sheet and a world-class commercial organization. Together, we can offer robust product offerings, including verticalized software to serve a broader set of customers and to address an ever increasing number of use cases. We expect the proposed merger to unlock significant synergies, creating a company with the scale and resources to deliver industry-leading solutions for customers and society, while accelerating time to profitability and enhancing value for shareholders. With the merger transaction expected to close in the first half of 2023, we'll continue to execute on Velodyne's growth strategies and advance our pillars for success. With that, I would like to hand the call over to Mark for a review of our financial results. Mark, please go ahead.
Mark Weinswig: Thank you, Ted, and good afternoon, everyone. As a reminder, within my remarks, I will discuss non-GAAP metrics. A full description and reconciliation of these non-GAAP measures versus GAAP is included in the company's press release issued today on our website and our filings with the Securities and Exchange Commission. Now moving on to the results. Total revenue was $9.6 million and included a $2.8 million impact from the Amazon warrant accounting. This compares with total revenue of $11.5 million in the prior quarter, which included a $0.9 million impact from the Amazon warrants. Total product revenue was $7.4 million, which included the $2.8 million Amazon warrant impact. This compares with product revenue of $9.7 million in the second quarter of 2022, which included a $1 million impact. License and services revenue was $2.2 million compared with $1.9 million in the prior quarter. Billings, which represents the dollar value of products and services provided during the current period or invoiced to the customer was $12.5 million, flat with the second quarter and above our prior guidance. GAAP gross loss was $10.9 million. This compares with a GAAP gross loss of $7.1 million in the second quarter of 2022. The third quarter gross loss was negatively impacted by $7 million in charges including a $4.6 million charge related to a product transition, inventory reserves and commitment loss charges, and $2.4 million from terminated contract costs. As Ted noted, we have taken actions to improve our future performance. Non-GAAP gross loss was $3.3 million. This compares with a non-GAAP gross loss of $4.2 million in the second quarter of 2022. The GAAP operating expenses were $31.4 million, compared with $37.5 million in the second quarter of 2022. Non-GAAP operating expenses were $25.1 million, compared with $31.8 million in the second quarter of 2022. The reduction reflects the implementation of the ongoing cost containment measures. GAAP net loss was $41.6 million or $0.19 per share, which compares with a GAAP net loss of $44.3 million or $0.22 per share in the second quarter. Non-GAAP net loss was $27.6 million or $0.13 per share. This compares with a non-GAAP net loss of $35.7 million or $0.18 per share in the second quarter. The improvement was primarily due to the lower level of operating expenses. Moving on to the balance sheet. We ended the quarter with approximately $220 million in cash and investments. This compares with $229 million at the end of last quarter. As we noted in our last call, one of our priorities is reducing our total cash burn. We are making good progress on this priority and believe there are further opportunities to further lower cash usage. At the same time, we will continue to invest in our growth initiatives to maintain our strong position in the lidar market. Finally, regarding the proposed all-stock merger with Ouster, we look forward to providing more information about our combined company strategy following the merger's closing, which is currently expected to occur in the first half of 2023. For more information on the proposed merger, please review the filed 8-K and other SEC filings and the joint conference call, which you can access at velodynelidar.com. I'd now like to turn the call back over to Ted.
Ted Tewksbury : Thank you, Mark. Q3 was another quarter of progress on our company-wide transformation. We improved the supply chain, inked new customer agreements, reduced costs, and significantly improved our bottom line. These advancements position Velodyne to grow revenue, improve margins, reduce cash usage and accelerate our path to breakeven. Velodyne's mission is to use our smart lidar technologies to advance the efficiency, productivity, safety and sustainability of a world in motion. With over 75,000 Velodyne lidar sensors shipped to-date, we are leading the way in making our communities safer, our supply chains more efficient and our planet greener. In closing, I want to thank our many stakeholders for their continued support. And most of all, a big thank you to the Velodyne team for all their hard work to achieve our goals. I am proud of our continued progress and excited about Velodyne's future. Before we open the call to questions, I just want to remind everyone that we will only be addressing questions in connection with Velodyne on a standalone basis, exclusive of the proposed merger with Ouster, which remains subject to completion. With that, operator, would you please open the Q&A polling process?
Operator: We will now begin the question-and-answer session.  Our first question comes from Colin Rusch with Oppenheimer. Please go ahead.
Colin Rusch: Thanks so much guys. Could you just give us a sense of inside the billings, how much of that potential revenue is coming from existing customers and how much is coming from new customers?
Mark Weinswig: I would say roughly 80% to 90% is from existing customers.
Colin Rusch: Okay. So you're continuing to grow the customer base as well, is that posssible?
Mark Weinswig: Yes. Absolutely. But as you saw with new multi-year agreements, we continue to add new customers at a pretty fast pace.
Colin Rusch: Excellent. And then in terms of the maturity of the supply chain, obviously, there's an awful lot going on, especially as you go through some evolution of the platform. But I'm curious how prepared the supply chain is right now to really scale it with you? And if there's any particular components that are taking on right now?
Mark Weinswig: Yes, great question. We've just made enormous progress in improving our supply chain. And I'm pleased to say that we're nearing the end of this long dark tunnel we've been in and we're close to coming out the other end in early 2023. But as I mentioned in the prepared remarks, we're already shipping the first new improved version our Pucks and Ultra Pucks using a new FPGA. And that, as you recall, it was the first phase or two-phase program, so that new Puck will last us through Q4 and Q1, and then we will taper in the long-term solution, which will use a Xilinx FPGA. And once that's completed, we will finally -- hopefully, fingerâs crossed, be through this constrained supply situation.
Colin Rusch: Perfect. Thanks so much, guys.
Ted Tewksbury: Thank you.
Mark Weinswig: Thanks, Colin.
Operator: Our next question comes from Nick Doyle with Needham.
Nick Doyle: This is Nick on for Raj Gill. Thanks a lot for ask me question. Asking about Ouster, but not a -- hopefully, you can give me some details on the competitive differentiation. So I know they use a little bit different technology. I'm just wondering how you guys are thinking about any kind of synergy or difference in the product lineup?
Ted Tewksbury: Yes. Great question. So the technologies are different. We use a 905-nanometer laser time-of-flight technology. I think you're all familiar with our technology. We use our proprietary advantages what we call the MLA, the Micro Lidar Array. And we have a proprietary TROSA assembly, Transmit Receive Optical Sub Assembly technology. What Ouster has, and I'm not saying anything that isn't already out there in public is a SPAD and VCSEL-based technology, which is monolithic, all integrated on a chip, which is great from a cost perspective. And the two technologies are very complementary in the kinds of applications that they can address. So together, I feel that we have a very compelling combined technology to pursue the kind of markets that we're jointly -- that we will jointly pursue.
Nick Doyle: Got it. Wondering if you can give us any more detail on all the press releases this quarter in terms of all the new customers, Visimind is a current customer. But like you quantified one of them is a three-year deal. Maybe the other ones, are they similar in size and scale? Any more detail would be great.
Ted Tewksbury: Yes, sure. So Visimind is a customer and distributor that we've worked with for many years. The application here is airborne mapping of power lines, so they want to be able to also determine whether there's vegetation encroaching on power lines. So this will improve the energy distribution network in Europe and other regions. So what they liked about Velodyne technology, as most customers do is a high performance, the ease of integration, very low power for long operation time and portability in those kinds of environments. So that's an exciting opportunity for us. I talked about the eve auto service in the prepared remarks. And basically, just to elaborate a little bit more on that. This is an automated conveyance service. So these are small electric vehicles that are being rolled out by this joint development between Yamaha Motor and Tier 4. And these will navigate factories autonomously, both indoor and outdoor. And Lidar is essential in these kinds of applications to provide the safety in these kinds of warehouse environments and factories, where you're going to have these automated electric vehicles autonomous vehicles, co-working with human workers. And so obviously, safety is a paramount importance there. And then the eve auto service also layers on top of that, fleet management services, mapping services and so forth. So we think that's going to be a very good growth opportunity for us. We also talked about Stanley Robotics, which is automated autonomous vehicles for car parks to help move cars in and out of parking spaces safely and efficiently. So obviously, with the number of car parks worldwide, that could be a very exciting opportunity for us. And then I should probably also mention the Bluecity acquisition, which was a really exciting development during the quarter. We've worked very closely with Bluecity for many years. They, of course, have been our partner in developing AI software that we sell together with our Lidar as a solution to municipalities to do traffic monitoring at intersection, and develop analytics to improve road safety and efficiency, especially for vulnerable road users, such as cyclists and pedestrians and so forth. This technology helps cities plan for smarter, greener transportation systems. There are also outside of intersections, many other applications where we can take that same technology and deploy it for parking applications, retail, casinos, stadiums, the sky is the limit on the applications of this technology. So it positions us as being really a leader in intelligent traffic systems, again, not just the sensors, but also the full stack software and analytics, traffic actuation, sequencing traffic lights in order to improve traffic flow, reduce congestion, reduce fuel usage and keep people safe. So that's the first part of the value proposition for Bluecity. But then the second part is being able to take that same successful model that we've used with IIS or Intelligent Traffic System, and then redeploy that for some of these other applications, other vertical markets that I just talked about. So, really a lot of opportunity and new applications across our markets occurred in Q3.
Jordan Darrow: Operator, please go to the next caller.
Operator: Our next question comes from Samik Chatterjee with JPMorgan. Please go ahead.
Samik Chatterjee: Yeah. Thanks for taking my questions. I guess on the first one on billings, you clearly had strong billings in the quarter, your guiding to billings improving to the fourth quarter as well. I'm just wondering, when you're talking to your customers, what are you hearing in relation to sort of their response to the macro? And as you think about sort of the nature of the projects, do you have, be it sort of some vehicles or automated vehicles or infrastructure projects, how are you thinking about sort of where you might see more sort of hesitation from customers and continue to invest in those projects as we head into next year, which is clearly concerning from a macro perspective? And then I have a quick follow-up. Thank you.
Ted Tewksbury: Sure. Great question. And it really -- the answer depends on the market. So let's start with automotive. So automotive really breaks down into two sub-segments. You've got Level 4 and Level 5 AVs, including Robotaxis, Autonomous Shuttles and so forth. And then you've got ADAS. So we have a very strong position with AVs with our Puckâs, our Ultra Puck's and particularly with our Alpha Prime, our 128 laser device, which is really a best-in-class tech category leader for AVs. And we've talked about that on past calls. We continue to see strong demand for that product. However, we've continued to see the volume rollout of AVs, whether it's Robotaxis or Autonomous Shuttles continue to push out to the right. So most of the demand that we have there is for early deployments, pilot deployments and so forth. And so that -- those shipments on a quarterly basis tend to be very lumpy. We haven't really hit the production yet, and I think production is still going to be pretty far out in the future, probably towards the middle or back half of the decade. As far as ADAS is concerned, as we've talked about in prior calls, really the gating obstacle to volume deployments there is price, prices of LiDAR for L2+, L3, ADAS needs to come down to sub-$500 levels, $300 to $400 being the sweet spot. And that's why we don't have those products today. In fact, nobody in the industry has those products today. And that's why our second pillar is focused very aggressively on developing those low-cost technologies. So that -- the ADAS is really going to start to take off once we can introduce those next-generation products, which will be ready for when those ramps arise. It's for those reasons for the delays in the automotive market that we have really chosen to focus on what we call the early autonomous markets, which is industrial, robotics and intelligent infrastructure, including intelligent traffic systems. Those markets exist today, and we are shipping into them as we speak. And so in those markets, we continue to see very strong demand from our customers, and that accounted for the strong $12.5 million billings we saw in Q3, as well as the $13 million to $15 million of billings that we'll see in Q4, and we expect that to continue to grow.
Samik Chatterjee: Okay. So just to confirm and clarify within industrial robotics or infrastructure, you're not seeing any hesitation from customers just given the macro in terms of future activity or billings engagement with your customers and billings as well? And then just for my follow-up, I'll ask it right now, which is as we think about not asking a question about the merger itself as you start to prepare for it, and we look at your portfolio, how are you intending to talk to your customers about the product portfolio itself, particularly in relation to being -- making customers comfortable about the product that they're choosing today will be part of a combined portfolio in the future? Similar question, but in relation to the outsourced manufacturing with Thailand with Fabrinet, does it fit into the overall plans in the long run of the combined company? Thank you.
Mark Weinswig : Okay. Let me start with the billings question. There we're seeing very strong demand across the board. As I mentioned, we're going to have -- but we're guiding to $13 million to $15 million in Q4. And I should mention that we're seeing more demand -- we're still seeing more demand than we can supply. I indicated in the prepared remarks that we're making tremendous progress in overcoming some of the supply chain constraints, but we're still seeing much more demand than we can supply. So we went into Q4 with very strong backlog. And so I'm very optimistic about future billings growth. As far as the merger, I'd rather not get into details regarding the -- how we're going to combine the product road maps or supply chains and so forth. That whole discussion is going to have to await the closing of the deal, which will hopefully happen in the first quarter by March may get prolonged into the second quarter. But we'll come back to you at that stage and provide more detail on your questions around customers and supply chain. But suffice it to say that there's a lot of complementarity between our customers and our markets, which should ease that process.
Operator: We have time for one more question, which comes from Mark Delaney with Goldman Sachs. Please go ahead.
Mark Delaney: Yes. Good afternoon. Thank you very much for taking the questions. The first was on the gross margin outlook longer-term. You mentioned a number of steps the company is taking to try and improve the gross margin, one of particularly what you mentioned was consolidating manufacturing with Ousterâs partner in Thailand. When you think about the margin impact of these steps, how much margin improvement when fully complete? Do you think this will drive? And how long do you think it will take before that's fully done?
Ted Tewksbury: Well, I'll give you the 30,000-foot answer, and then Mark can provide some details. There is a couple of things that we're doing right now that will have a near-term impact. One is as the supply chain constraints start to alleviate the price of components goes down. The scarce components goes down. So that will have an immediate impact just over the next the following weeks or months. And then a little longer-term, maybe over the next quarter or so, we'll start to see the impact of the transfer to Thailand, which will bring down product cost. And then the other two, namely product design improvements to reduce the BOM cost, that one is going to be a longer-term, one year to maybe 18 months before we start to see the impact. And then fourth, we've got solutions, which include software and that, of course, enables us to raise our ASPs. And that also tends to be more of a longer-term contributor, more on the order of a year or two years. Mark, I'll let you go ahead.
Mark Weinswig : Yes. And Mark, obviously, it's one of the things that we have focused on probably most prominently over the last few months, which is kind of our gross margin strategy. I mean for Velodyne, the key thing for us has been the implementation of these plans, as Ted mentioned, and as we've discussed in our preliminary remarks. When we look directionally, our goal is to continue to make significant progress on the gross margin side. We're very excited about the fact that we've been able to increase our guidance for the fourth quarter in terms of our billings now for between $13 million and $15 million. In addition, with the activities that Ted mentioned, we do believe that we'll continue to make progress in improving our gross margins. Obviously, on a GAAP basis, we did see some significant headwinds this quarter, but a lot of that's behind us, and we're looking forward to continuing the process of putting together very, very detailed and specific plans on how to improve our gross margins, specifically in the fourth quarter and also going into 2023.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to management for closing remarks.
Jordan Darrow: All right. Thank you all for joining us today. We look forward to speaking to you in the weeks to come. Have a good afternoon.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.